Operator: Good day, and thank you for standing by. Welcome to the Credit Agricole Fourth Quarter and Full Year 2021 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to had the conference over to your speaker today, Philippe Brassac, Group CEO. Please go ahead, sir.
Philippe Brassac: Well, thank you so much. And good afternoon, everyone. Philippe Brassac speaking. First of all, thank you so much for being connected with us. We are very pleased to come out and to present our main set of results and figures for both the fourth quarter and the full 2021. It'll be very interesting for me to listen to your questions, and I shall attend the whole meeting, but my only takeaway message is simply the fact that we succeeded to get as many banks in this very interesting and very excellent results. Thanks to the fact that they were absolutely linked to this huge operation, a successful operation to preserve, to save economy from the consequences of this crisis of the COVID crisis. And naturally, on the next years we'll shore up to drive these ships to -- from mobilizing both the crisis, to mobilize both the transitions that are useful and necessary [ all around us ]. So I stop on this point and I naturally give the floor to Jerome Grivet to sum up and -- our different results and try of course to answer to your relevant questions. Jerome, please.
Jerome Grivet: Thank you, Philippe. Good afternoon to everyone. I will start directly with the figures. And starting with the group figure, you can say that you can see on this page that we are posting this quarter and for the full year of 2021 the highest result we ever published for Crédit Agricole Group. We stated a net income which is above EUR 9 billion for the full year on again a stated basis. When it comes to the underlying net income figures, the net profit for the full year is EUR 8.5 billion, and EUR 2.3 billion for the quarter. Interestingly, we see that both for the quarter and for the full year we managed to keep very significant positive jaws effect with revenues much more sharply up than the cost base. And the cost of risk is significantly down. Lastly, the cost income ratio at group level improves by close to 2.5 percentage points, and the solvency at group level further improved with the CET1 ratio which is now at 17.5%. If I go now to CASA's figures on the following page, you see more or less the same trends with a net profit, stated net profit for the full year which is above EUR 5.8 billion and above EUR 1.4 billion for the quarter. And on an underlying basis, close to EUR 5.4 billion for the full year. And again, EUR 1.4 billion for the quarter. Just a word on the specific items this quarter which are closed to nil actually, minus EUR 7 million. It's almost nothing. But it's a combination of huge positive one-offs which were more or less all linked to the Creval acquisition in Italy, the last positive effects of the Creval acquisition in Italy, badwill recognition and DTA recognition. And we've, to put it in a nutshell, invested the biggest part of this positive one-off into improving the future and recurring profitability of Crédit Agricole Italia. We'll come back on this later on. So this is leading to almost nil globally in terms of specific items. Again, we have a very positive jaws between revenues and costs, be it on an underlying basis and also restated from scope effects we have a strong reduction in the cost of risk, and all in all a sharp improvement in the net profit. Cost income ratio is down. Solvency is down. We'll come back also on this later on, but significantly above SREP requirement. And profitability is very strong, above 13% in terms of return on tangible equity. On Page 7, I think 2 main messages. The first one is that having met the 2020 EUR 2 million term plan financial targets, we are now ready to provide new targets to the market. And we will hand an Investor Day on June the 22nd this year in order to update the market with new medium term target, 20, 25 medium term target. And the second important element is that we are going to propose to the general assembly meeting to adopt a level of dividend of EUR 1.05 per share. Again, I will describe a little bit more how this figure has been reached. Let me go now on Page 8 with an analysis of the evolution of our revenues. I think 2 or 3 main IDs on this page, the first ID is that revenues are sharply up both on the full year and on the quarter as compared to 2020, but interestingly it's also significantly up and either more up as compared to 2019. Bear in mind that actually 2020 was revenue-wise also a very good year. The second interesting item on this page is that if we restate the evolution of the revenues from the scope effect, the main element of this restatement being the fact that Creval has been integrated only in the middle of 2021. We continue to see a sharp increase in the evolution of the top line of the revenue line. And then the last interesting point is that what you can see is the fact that this revenue improvement on the full year is spread on all business lines. All business divisions have been able to improve their revenues in 2021 as compared to 2020. If I go now to Page 9 with the cost evolution, what you can see is that the cost evolution is less important than the revenue evolution I just presented on the previous page. And it's even more moderate if we restate the cost evolution again from the scope effect. What you can see is that actually restated from the scope effect the costs are up only 4.3% Q4 on Q4 and 3.5% full year on full year. The explanation of this increase is spread between IT investment and expenses, increase in valuable compensation, ForEx impact and other items. But nevertheless, both with and without scope effect, we managed to post a very significantly positive jaws effect on the quarter and the full year. Going now on Page 10. We wanted to give a little, a broader horizon in terms of our capacity of generating revenues. And we looked back on the last 5 years. What we see is that regularly on each quarter we've been able year after year to improve the level of the revenues. That is the first point. And actually the average growth in the last 5 years of the revenues was around 5%, when at the same time the cost increase was in average 2.5%, which means that we've managed to improve the gross operating income by 7.5% year after year, and of course to decrease very significantly the cost to income ratio which is down 5 percentage points between 2017 and 2021. Going now to the risks. I'm talking about the underlying cost of risk, i.e. excluding the one-off items that we posted in Italy through this reinvestment of the capital gains and badwill recognition that we had with the Creval acquisition. So talking about the underlying risk, what you can see on this page is that actually the level of risk is very significantly down, both for the quarter and for the full year as compared to 2020. It's the case both for Crédit Agricole S.A. and Crédit Agricole Group. The level of risk is also significantly lower than the assumption that we had made when we presented the last medium-term plan. It was 40 bps on the perimeter of Crédit Agricole S.A. and 25 bps on the perimeter of Crédit Agricole Group globally. And maybe the last and interesting point is that every quarter this year we've continued to increase a little bit the Stage 1 and Stage 2 provisions, i.e. we've avoided to write back provisions simply on the back of a better macroeconomic scenario. And as you know, we have a methodology that combines the effect of the macroeconomic scenario and some forward -- local forward-looking aspects. And actually each quarter, when the macroeconomic scenario was generating some write backs of Stage 1 and Stage 2 provisioning, we've offset these write backs by increasing the forward -- the local forward-looking. This is leading to the situation which is described on page 12 where we have improved over the year the coverage ratio of our non-performing loans with provisions when the level of non-performing loans was decreasing as compared to last year. And within the global stock of provisions that we have we've significantly increased between 2019 and 2021 the component linked to Stage 1 and Stage 2. And actually for the perimeter of CASA 1/3 of the EUR 8.9 billion of provision is made of bucket one and bucket 2 provision. This amount has been increased by EUR 1 billion since 2019. And on the perimeter of the group globally, the increase is EUR 2 billion between '19 and '21, and the amount is close to 40% of the EUR 18.9 billion of provisions, i.e. we have close to EUR 7.5 billion of bucket one and bucket 2 provision on the perimeter of the whole group. This is leading to the evolution of the net profit that is described on Page 13. Again, what you can see is that there is a significant increase, a sharp increase of the net profit both on the quarter and on the full year between '20 and '21. But there is also significant increase, if you compare '21 to '19. And maybe last point on this page. Interestingly, this improvement of the total profit is more or less fueled by 2 engines. The first one is of course the decrease in the cost of risk. But the second one, almost as important as the first one is the increase in the gross operating income. For the full year, it's EUR 1.2 billion of increase of the gross operating income, EUR 1.4 billion in decrease in the cost of risk, leading all in all to a EUR 1.5 billion of improvements of the net profit. On page 14, we provide again this comparison between our return on tangible equity, 13.1% for the full year 2021 and the average of our peers in Europe. And again, we've managed to keep a very, very significant margin above the average of our competitors. Let me go now to some highlights of what we've been achieving in 2001. And actually since the beginning of this medium-term plan, starting on Page 16 by a few highlights on the further developments of our business model, the customer-focused banking business model. We've been, and we've continued to improve our offers. And there is a lot of examples provided on this page. We've continued to improve the digital experience of our customers. And we've continued to develop our human project, i.e. empowering all the teams locally as close to the ground as possible. This is all in all leading to a further improvement of the customer satisfaction. And we've again provided some examples for the regional banks of Crédit Agricole for LCL and for CACF. And this improvement in the customer satisfaction itself is fueling our further growth. In terms of commitment to our societal project for the group globally. Again, we are providing here on Page 17 a few examples of the different actions that we've been taking, both for supporting the efforts of our customer in their own energy transition be it corporate or individual customers, in also reallocating our own financing books from, I would say, brown assets to greener set of assets. And I'm pleased to say that a study of Bloomberg stated that we were the only amongst 30 big banks globally to have a bigger green loan book than a brown loan book. This study had been -- has been published a little bit earlier last year. And lastly, we provide also some examples of our commitment towards inclusivity and support to all the population that needs the board beat, the families, the over-indebted customers of the young. On Page 18, just a reminder of what we've presented to the press on December the first last year. We've presented a series of markers of our commitments towards the climate, towards the agricultural and agri food transitions and towards the strengthening of the social cohesion and inclusion. So we are giving on this page a list of these items. What is interesting is that we are committed to give regular updates on the way we progress on the achievement that are described on this page. On Page 19, just a few reminder of all the achievements of this medium-term plan. First, as I said in the beginning of this meeting, we've met now all the financial targets that we had initially set for 2022. This is the case for the net income, which is now well above the EUR 5 billion threshold. This is the case and this has been the case for the cost income ratio since now several quarters. It's also the case for the return on tangible equity, above 11%, the distribution policy sticks strictly to our 50% commitment despite the fact that in 2019 we had to skip the dividend and then the CET1 ratio is well above the 11% target. We've fully unwound the switch mechanism. The initial commitment was to unwind it half by end 2022. But actually our financial capacity allowed us to do it more completely and earlier. And this is going to help fuel the future profitability of CASA next year. And also taking a look at all the strategic operations that we did in the last 3 years. I think we can say that we've been quite agile in adapting our setup to all the opportunities and to all the necessities. We concluded 8 new significant strategic partnerships. We've made a significant number of acquisitions for a total of EUR 4.3 billion. But we've been also able to dispose of center certain assets for a total of EUR 2.3 billion. So all in all, the impact of this acquisition net of the disposals represented 50 bps of capital consumption in the course of the medium-term plan. On Page 20 you have a wrap-up of all the initiatives that we've been taking last year in order to adapt our CACF financing business to the new behavior of the customers, and to do new, I would say, standout in this business. We've completely restructured the partnership with Stellantis. This is going to be up and running beginning of 2023. But the principles are now clear, and CACF is going to be and to become the exclusive partner of penalties for the development of their long-term leasing in all their branches across Europe. We are going to become the 100% shareholder of FCA bank. And we are going to develop a new model through FCA Bank of a multi-brand CACF financer across Europe. And we've also started from scratch, a business of long-term rental offer dedicated to the Group's retail banking customers targeting 100,000 vehicles by 2026. If I go now to the main highlights regarding every business line specifically, let me start with the asset gathering and insurance activities on Page 20 -- on Page 22, excuse me. Just 2 important items on this page. The very sharp increase in the assets under management globally, triggered both by of course the acquisition of Lyxor but also a positive market effect and significantly the inflows. And the profitability of this business division continues to progress for the full year and for the quarter. Looking at the insurance activities on Page 23, it's been a very active quarter from the commercial viewpoint with a record of income premium in Q4 '21. Very good activity both in life insurance activities and nonlife activities, and also very strong quarter in terms of profitability despite the fact that the revenues were impacted by 2 phenomenon. The first one is the declassification of La Médicale de France which is now accounted for under IFRS 5, considering its imminent disposal. And the second element is that again this quarter we've had a significant amount of capital gains with low corporate tax rate. And this allowed us to reduce our financial margin to continue to strengthen the different provisions that we have in our books with generating, at the same time, the targeted level of profit. On Page 24, we are giving some longer view elements of evolution of the profitability of the insurance business. And what is interesting to note is that in the last 8 years we've been able to grow the net profit by around 4.5% to 5% a year despite a revenue growth which was only 2% a year. So this is perfectly illustrating the fact that actually considering insurance activities, it's not sufficient to assess only its profitability for the top line, you really need to go to the to the bottom line in order to fully acknowledge the profitability. And in the upper side of this chart, what we show is that we've been able in the life insurance activity to continue to keep very important margin between the yield of the asset books that we have and the profit sharing rate that we pay to our customers, fueling at the same time the profit of the insurance company and also a sharp increase in the policyholder participation reserve that is helping us for the future. In the asset management, Amundi published its results yesterday, so you've been probably able to take a look at them. I think we can stick to a few comments. The first one is that the threshold of EUR 2 trillion of assets under management has been exceeded. And again it's due at the same time to a very strong -- to very strong inflows, plus of course the integration of Lyxor at end of 2021. And from a financial viewpoint, the net profit is very significantly up despite some kind of normalization of the performance fees this quarter. If I go now to the large customers division on Page 26, maybe just a few highlights regarding the asset servicing business. We have a strong growth of assets under custody and assets under administration, a sharp increase in the top line. And so a good evolution of the net profitability of CACEIS. On page 27, some highlights regarding CACIB. I think that once again this quarter illustrates the very good resilience of CACIB. You know that globally for all participants in this market FICC business was weaker this quarter as compared to the same quarter in 2020. It was to a certain extent less the case for CACIB than for some of its competitors. But nevertheless, this slight decrease in revenues in the capital market activities was more than compensated by a very buoyant level of activity in the financing businesses of CASIB. And all in all, considering the fact that the cost of risk has been almost pushed down to zero defaulter. The net profit of CASIB is at a very high level and increasing sharply as compared to 2020. I should add to that, that this very low level of cost of risk this quarter has been reached despite the fact that we've been taking a kind of overlay bucket one and bucket 2 provision across the board, and especially at CASIB. At CASIB it represents close to EUR 50 million of overall net provision this quarter. In the specialized financial services division, so consumer credit and leasing and factoring activities, we see more or less the same trends, i.e. a very good commercial momentum in the fourth quarter. And it's been the case despite some headwinds. The first headwind regarding the consumer credit activities is the fact that the car market in Europe continues to be a little bit penalized by this bottleneck issues. And so the -- all what is connected to the financing of new cars is penalized, despite this fact production is up and outstandings are up as compared to end of last year. And regarding leasing and factoring activities, the level of activity was also very, very dynamic this quarter. So this is leading all in all to revenues which are significantly up, cost of risk which is down, and the net profitability which is quite significantly up for all these businesses. If I go now to French retail banking activities, LCL, we've got a good quarter again in terms of commercial activity with -- for the full year customer capture which is above 300,000 new customers and books are up both for loans and for customer assets, leading to a revenue which is quite significantly up, 4.5% for the full year and 3% for the quarter. The cost base continues to be very well-managed, more or less flat. As compared to 2020, the cost of risk is down and thus the profitability is sharply increasing. In Italy, of course this quarter is a little bit to read, considering the fact that we are in the process of integrating Creval within our setup. It's -- the last quarter was really the history of integrating Creval from a commercial viewpoint, i.e. progressively training all the Creval staff to the sale of the different products and services manufactured by the group. And the figures are of course impacted by the integration of Creval. If we try to read across these figures and to access the performance of the historical perimeter of Crédit Agricole Italy, you would see is that revenues were down clearly impacted amongst other elements by the sale of a very significant portfolio of nonperforming loans, EUR 1.5 billion. So of course this is leading to a lower level of revenues all things being equal. And we continue to see in Italy and globally a certain pressure on the interest margin. But nevertheless, the fees and commissions are positively oriented. The cost base is apparently up, but actually restated from a high contribution to the Italian deposit guarantee fund, the cost base is flat, the cost of risk is improving. And so the net profit on the historical perimeter is more or less flattish this quarter, and is sharply improving for the full year. Crédit Agricole globally in Italy, on Page 31. Again, these activities in Italy continue to represent a very strong contribution to the net profit of Credit Agricole S.A., around 13% of the net profit of Credit Agricole S.A. And this is an amount of EUR 750 million of net profit generated in Italy. We provide on this page a summary of all the elements that were linked to the acquisition and to the integration of Creval. And what you can see is that in 2 steps, second quarter and fourth quarter of this year we recognized all in all a net badwill of close to EUR 500 million, plus certain DTA adjustments, positive DTA adjustments. And this financed a series of operations that were designed to boost the future profitability of Crédit Agricole Italia going forward with the launch of a next-generation HR plan. So it's a redundancy plan that is going to help us reduce and improve the staff in Italy, and the financing of this NPL sale, plus the strengthening of the remaining -- the provision related to the remaining loan books that we have in Italy. The rest of the international banking, retail banking activities excluding Italy, so the 4 entities that we have. What we can see on this page is that the normalization continues to be up and running after the year 2020, which was earmarked with the pandemic consequences. And so we are now reaching back levels of profitability that we had before the pandemic, with a net profit which is at 40% on the full year for this business division. The corporate center is significantly up this quarter, reaching a very low level of clusters of EUR 26 million for the quarter only. It's linked to a further improvement of the structural components of the corporate center with an improvement of the management of the balance sheet of CASA and CASA Holding with also the businesses accounted for within the corporate center posting better performances is the case for the private equity business, for example. And with also an increase of the revenues coming from the payment services entity. And the nonrecurring or the more volatile part of the Corporate Center is also improving this quarter with some inflation swaps generating positive reevaluation plus dividends that we've received from entities outside the group. Let me finish this review of the different businesses with the regional banks of Crédit Agricole. And we will see more or less the same trends as the one we've seen with LCL, with a significant level of customer capture, plus 1.2 million new customers this year only, sharp increase in the balance sheet with customer assets up 6% and customer loans up 5%. Almost all categories of loans are being significantly up. The equipment rate of the customers of the regional banks continue to be up in insurance products and amongst other nonlife insurance products. And so, this is leading to a very strong improvement of the contribution of the regional banks to the results, the net results of the group. Let me go now to the solvency. You can see on Page 37 the evolution of the solvency of the group and the evolution of the solvency of Crédit Agricole S.A. At group level the solvency improved further this quarter, going from 17.4% to 17.5%. And at CASA level, the solvency is quite significantly down. But in a very explainable manner, it's down from 12.7% to 11.9%. So it's a decrease of around 80 bps. And this decrease is completely explained by 2 elements which are first the switch unwinding, which represents around 60 bps of impact on the CET1 ratio, and the extra distribution above the normal dividend that is regularly provisioned quarter after quarter. This quarter we have also the consequences of 2 elements. First, the share buyback that we did in the quarter, around EUR 500 million of share purchased that are going to be cancelled, and also the extra EUR 0.20 a share dividend that is in connection with the 2019 dividend repayment. This quarter we also have some negative impacts of the different M&A transactions that were concluded on the quarter, namely the acquisition of Olinn by CALF plus the acquisition of Lyxor. Going now to the dividend on Page 38. We reiterate the commitment we have to pay 50% of the net attributable results in cash. And this quarter we add to that -- this year, excuse me, we add to that another EUR 0.20 in order to continue to repay the skipped 2019 dividend. We paid EUR 0.30 cents in 2020. We are going to pay EUR 0.20 cents. So this means that there is still another EUR 0.20 to go before we have fully repaid this 2019 skipped dividend. I think that regarding liquidity on Page 39, there's nothing much to say. The situation continues to be very ample and very comfortable. Simply note that we are starting to study the end of the T-LTRO mechanisms and all the consequences of the progressive exit from the different quantitative easing monetary policies in order to make sure that we continue to have a very good liquidity position going forward. On Page 40, market funding, what I can say is that the market funding program has been completed without any difficulty in 2021. And we continue to be ahead of the curve in 2022 with a significant amount of different categories of debt that have been already issued on the market since the beginning of the year in very good conditions. So let me now conclude by reiterating the fact that this year results were very good results with high profitability, high solvency. But we need to assess those results in a series actually of good performances that we've had in the last at least 5 or 6 years with a very regular set of a -- very regular capacity of growing the top line, a very good cost discipline and all in all a very prudent risk management. Thanks again, and let me now take your questions.
Operator: [Operator Instructions] Your first question today comes from the line of Giulia Miotto from Morgan Stanley.
Giulia Miotto: Two questions, please. The first one, if I'm not mistaken, I saw some headlines this morning from an interview talking about potential further involvement in Italy M&A consolidation. So could you please update us on that -- yes, that topic basically, if anything has changed, if you see any opportunity, if you have looking -- if you are looking at any fines at the moment, et cetera? And then my second question is on asset quality. So I think all banks are saying that asset quality is really way better than they had expected at the beginning of COVID. So why are Stage 1 and Stage 2 still increasing? And in your view, when can we expect to see some reversal of the COVID overlays if at all? Is that a 2022 or maybe 2023 topic?
Jerome Grivet: Thank you. Let me start with your first questions. Actually, I think you're referring to some headlines that were published after an interview I gave on Bloomberg TV this morning. And if I want to quote myself precisely, what I said is that the bulk of our strategy in Italy was to continue to grow organically, that we were ready, as we did in the past, to take advantage of opportunities. So nothing has changed from this viewpoint. We continue to focus on organic growth, and this is working. And we continue to be available for opportunities if they arise and if they meet all our criteria. I think nothing has changed. Asset quality, yes, the asset quality continues to be very good. You've seen the reduction in the proportion of NPLs in our balance sheet. We are, I would say, structurally identically prudent. So this is why we've done everything we could in order to avoid to write back Stage 1 and Stage 2 provision this year. And actually, the intention is not to fuel our future results by writing back this EUR 3 billion Stage 1 and Stage 2 provision -- EUR 3 billion, excuse me, Stage 1 and Stage 2 provision that we have in our books at CASA, and EUR 7.5 billion at group level. The intention is to keep this Stage 1 and Stage 2 provision, to be able to use them if at a certain point in time there is a necessity to cover higher losses. And that's really the way we see it. Of course, we will perfectly comply with all accounting regulation and standards. But every time we can have some margin of maneuver, we are going to use it in the sense of prudence.
Operator: Your next question comes from the line of Jacques-Henri Gaulard from Kepler.
Jacques-Henri Gaulard: You are obviously completing the plan. It's been a great success. And I have more a question on the, I would say, ESG pillars of that plan. You remember, of course, you would remember the fact you had 2 pillars which were human, society clients. And I would say within that, A, are we going to roll that for 2022? Are those pillars which were are priorities, are we going to continue that way? Or are they going to sort of like evolve somehow? And maybe if you can give a view about what has been the most successful and maybe the area where you believe you could have done potentially better, the first question around that. And the second would be on the dividend and on the payout. It has to be said you've been the most innovative and loyal of all the French banks in terms of capital distribution, particularly during this pandemic. And in broad terms, without obviously giving anything away because we'll have things in due, what is your philosophy about capital returns?
Jerome Grivet: Well, thank you, Jacques-Henri. I'm afraid I will disappoint you a little bit in my answers. And probably every time your questions are going to address, I would say, medium-term issues, I will a little bit postpone the answers to the June 22 meeting because, of course we need to wrap up all our ideas and to provide a full-fledged plan at this date. But nevertheless, let me try to provide some elements of answer. First, regarding the 3 pillars, the medium-term plan that we are going to update, it's not a change of the group project. The group project is here to stay. It's, I would say, the structure of all our activities, and we are going to keep it this way. So it means that we are going to stick to our [indiscernible]. We are going to stick to these 3 pillars, as you call them, project human, project societal, a project young. That's for sure. But we need to regularly fuel these 3 pillars with new IDs, new initiatives and new action plan. And this is what is going to be presented on June 22 this year. And more importantly maybe, I think that this is a time where we need to accelerate massively on certain of those items. And I'm talking especially about energy transition and climate transition because definitely what we see is that it can no longer be just the nice thing that you add to all the rest. It must be now fully embedded in the way we develop our activities. And probably if anything is to change, this is going to be this way. This is going to be by transforming a little bit these priorities into really the engine of the future development of our businesses. But again, we will give much more detail in June. When it comes to the dividend, again, for the time being we stick to our policy, which is 50% payout plus -- as we want to be loyal to our shareholders, all our shareholders, plus the repayment of the skipped dividend of 2019. So we stick to that, which means that in 2021 regarding 2020 performances, we've paid 50 plus 30. In 2022 regarding 2021, we are going to pay 85 plus 20. And normally in 2023 regarding 2022, we'll pay something plus 20. And that for the time being is going to be our dividend policy. And if we have anything else or in addition to say regarding this policy, it's going to be for June.
Operator: Your next question comes from the line of Tarik El Mejjad from Bank of America.
Tarik El Mejjad: Two questions for me, please. The first one on IFRS 17, if you can give us some first indication on potential impacts. Hopefully, we can have some idea before June. So would you use some of the PPE to smooth the impact and what kind of capital impact for the first application we'll be looking for? Are we below what other banks already announced or same magnitude. Just some first elements, please. And then second question on sensitivity to rates. When I look at your reporting, and you've been quite consistent with showing very limited sensitivity to rates as 100 basis points shift, [ partly ] shift. And in your Pillar 3, first half results 2021, you showed some significant increase, EUR 1.3 billion, placing you like one of the highest in Europe in terms of sensitivity. Can you explain what's the change in terms of -- is it methodology change? Is it just like one-off? And maybe you have a provisional number to give us for the full year.
Jerome Grivet: Difficult question that you're asking. IFRS 17 to start with, you know that in 2022 we are producing our accounts both under IFRS 4 and under IFRS 17. IFRS 17 simply for internal use. So we are going quarter after quarter to be able to have a better idea of the differences between the accounts under IFRS 4 and IFRS 17. Maybe to put it in a nutshell. First, in the long term, there's no difference. It simply is about the time differences in the recognition of the profit linked to the insurance activities. So at the end of the day, there should be no difference between the assessment of the profitability of an insurance business under IFRS 4 and under IFRS 17. Second point, as we fine-tune our hypothesis and as we fine-tune our -- the capacity that we have to make the best usage of all the technicalities and all the optionalities that are embedded in this new regulation, we concur to say that revenue-wise or profit-wise, should I say, we should be with a profile that could be very close to the profile that we have presently under IFRS 4. This will have a certain cost in terms of capital initially because this would need us to put aside some future results in this famous consumer service margin or client service margin. So this may have a certain impact on our solvency, but which would be perfectly manageable considering the level where we stand now. So definitely it's going to be a big, big affair, this IFRS 17 transition from an operational viewpoint. And actually we have lots of teams working on this issue since now 2 or 3 years, and we are spending a lot of money on that. And that's probably not the best usage of our funds, but that's the name of the game. But there shouldn't be too big an impact in our overall profitability, and this should be very manageable. Going now to the rates. Actually, giving rate sensitivity is always -- for the future is always a very, I would say, hazardous calculation. So what we've provided in the Pillar 3 document is an assessment with very strong assumptions. The first one is that it's the result of the evolution in 3 years' time. So it's not tomorrow morning, it's in 3 years’ time. The second very strong assessment is that there is 100% pass-through of all the rate evolution into the different assets an immediate 100%, an immediate, which is also a strong assumption. So what you should keep in mind is that all in all we should be able to manage the increase in rates as we've been able to manage the decrease in rates. In 2022, it's sure that for the time being, we have already embedded a negative impact of the rate increase, which is the increase in the remuneration of the regulated savings accounts. And for LCL, this is going to represent around EUR 50 million of impact on the NBI for the full year 2022, which is not massive. And the rest will depend on our capacity to preserve the average cost of our liabilities besides the regulated costs and to progressively reprice the new loans that we are going to book with higher rates because for the time being long-term rates have increased by 60 to 70 bps in the last 6 months when home loans rates have continued to decrease. So this must stop. And we have good signs saying that we are at this inflection point and then everything is going to depend on the capacity of progressively repricing these new loans.
Tarik El Mejjad: Okay. I mean I didn't realize it was a 3-year impact. I thought it was first year impact…
Jerome Grivet: No, no, no, 3 years.
Operator: Your next question comes from the line of Guillaume Tiberghien from Exane.
Guillaume Tiberghien: Two questions. One is on the resolution fund. One of your competitors in France seems to suggest 10% to 15% increase in '22 and another one about 30% to 40% increase in '22. So what guidance would you give us? And the second one is on the SFS and the Stellantis JV. So is it nasty to say that between the time you stop the existing partnership and runoff part of the book and the time when you grow a new book from scratch, there's going to be a bit of a period in '22 where revenues might not be that great and costs will pick up to set up the new partnerships?
Jerome Grivet: Thank you for your 2 questions. As far as the resolution fund is concerned, it is an area in which we regularly have bad surprises. So I will be very prudent. I think I don't have the precise figure in mind, but I think we've embedded in our budget a slight increase in the contribution for 2022 as regards to 2021, but not in the magnitude that you are stating. And I really don't understand why this should be of this magnitude this year. But again, this is an area in which the surprises are generally on the bad side. Regarding SFS, Stellantis and the restructuring of the partnership, don't forget that day 1, the perimeter of the long-term leasing activities will increase because the former long-term leader of PSA will be combined with leases, which was the former long-term leader of FCA. And so day 1, this is going to be a bigger activity. The name was Free2Move. And so day 1, the long-term leasing activities will be bigger and the book of loans within SCA, so the traditional financing book within FCA is and continues even this year to be maintained and to possibly increase. So it means that the runoff is going to start only beginning of 2023 with an average duration of the book which is 3 or 4 years. So I'm not saying that we won't have maybe in the first -- in the very first quarter some slight negative impact, but it's not going to be very significant. And the vision that we have is that actually the business of long-term leasing is going to grow much faster than the business of traditional car financing. So we are betting on that also. So globally, it's going to represent a higher growth engine in the future.
Operator: Your next question comes from the line of Delphine Lee from JPMorgan.
Delphine Lee: So 2 questions from me. My first question is on French retail. So you mentioned the impact on -- from Livret A. Just wondering in terms of other moving parts, like how we should think about the outlook for [ SL ] revenues in '22? If you could give some color, that would be great. My second question is on capital and your 11% CET1 target for '22. You clearly have quite a bit of buffer above that. I mean do you intend to do anything about this? Or basically, you'll just keep that buffer for now, and we have to wait for the new plan to see how you could redeploy the excess capital.
Jerome Grivet: Yes. Let me start with the second question, Delphine. Obviously you're right, we have a buffer above 11%. That's for sure. And we are going to wait for the new medium-term plan to exactly explain the new trajectory. Bear in mind that we still have some moving pieces from a regulatory viewpoint ahead of us. We still have a few impact from TRIM that are due in 2022, probably around 20 to 25 bps of impact. There is still the impact of the transition to IFRS 17 I was just referring to a little bit earlier, which is going to probably also impact a little bit our solvency. And then there is the final text on Basel IV. The initial text on Basel IV is, I would say, digestible for Credit Agricole S.A. with a strong assumption that the output floor is going to buy it only at the highest consolidated level. But of course, we are cautious until we see the final version. So all these moving pieces plus the fact that we intend to publish this new medium-term plan on June 22 is leading me to postpone a precise answer. On French retail, what we can say is that we know a negative impact from Livret A. That's for sure. It's already embedded and it's going to be in the region of EUR 50 million net from the benefits of the different hedges that we have, but which do not fully cover the impact. We know that starting July 1 we will lose also the benefit of the 50 bps on the T-LTRO. So LCL is one of the benefit of this T-LTRO premium. Globally, for CASA, we are going to lose between 21 and 22, around EUR 200 million of revenues in connection with the T-LTRO. That's absolutely mechanical and cannot be avoided. On the perimeter of LCL, what is going to be here to offset these negative elements, it's the volume effect, are we going to continue to see a sharp increase in the volumes. And for the time being, there is no slowdown. The second element is, as I said before, the repricing pace of the new home loans that we are going to grant to our customers. The third point is, of course, the continuation of the increased improvement of the equipment rate of our customers with a broader range of products and services and offers. And keep in mind that in the last quarter, for example, the increase in the revenues at LCL was more triggered by fees and commissions than by the interest margin. So this is of course going to be a very important element. And at CASA level globally, keep in mind that ahead of us for 2022, we have those negative impact linked to the Livret A and to T-LTRO, but we have positive elements that are also already embedded. We are going to have the full year effect of the integration of Creval. So this may represent as much as, let's say, EUR 300 million of additional revenues. We will have also the full year effect of the unwinding of the switch mechanism. And as compared with '21, this may represent another EUR 120 million, EUR 130 million of additional revenues. And then, of course, we have a full year of Lyxor, which is going to be integrated with Amundi and which is also going to represent around EUR 200 million of additional revenues. So all these elements to say that 2022 is going to be what we are going to make of it. We start the year with certain headwinds, but also some tailwinds, significant tailwinds. And so now it's up to us to deliver another good operational performance.
Delphine Lee: And the T-LTRO declined in '22 for -- for not well LCL or at a CASA level, but how much would that be?
Jerome Grivet: For CASA globally, it's going to represent around EUR 200 million, which is spread between LCL, CASA itself and so the corporate center, CACIB, CACF and Crédit Agricole Italia also. So it's spread around all businesses depending on their contribution to the credit, eligible credit. So really you have that spread over all businesses, almost all businesses.
Operator: Your next question comes from the line of Matt Clark Mediobanca.
Jonathan Matthew Clark: So couple of questions. Firstly, a question on CACIB loan portfolio. And you went into the COVID crisis with relatively high exposures to oil, aircraft, et cetera, and other perceived risky sectors. But then, in practice you had very low cost of risk there through the crisis. How do you view that in retrospect? Do you think that this proves that your risk management was correct and you just carry on as usual? Or do you think that it was a bit of a lucky escape and maybe you need to think about derisking or changing your exposures over the medium term? So that's the first question. Second question, just to come back to Stellantis. So for 2024, do you see these transactions as being net positive or net negative?
Jerome Grivet: Excuse me, which transaction?
Jonathan Matthew Clark: The Stellantis transaction.
Jerome Grivet: Yes, Stellantis.
Jonathan Matthew Clark: Once the FCA runoff starts because I have thought losing significant volume when you need to maintain the franchise to grow with independent partners would mean maintaining the cost base. I mean there'll be some quite steep adverse operating leverage there. So I get that your 2023 target isn't affected, would it be net positive or net negative for the consumer division in 2024?
Jerome Grivet: Okay. Let me start with your question regarding the oil and gas exposure. I think that the fact that we have had on this -- and there's 2 aspects in your question actually. The first aspect is regarding the risk management. The history that we have in this business is that considering the expertise of the teams, considering the way we structure our operations, we never had a significant level of cost of risk in this business. So of course it's definitely not a matter of luck. It's a matter of expertise. It's a matter of know-how. It's a matter of really being able to understand which are the good counterparts and how to structure a transaction. And all in all, across 2012, up to 2019, the average cost of risk in this business was in the region of 7 bps on a yearly basis. The cost of final losses, not the cost of risk in terms of provision booked, but the real cost of final losses. So this business is now facing not an issue of risk, but an issue of transformation, and that is the most important. And we here to accompany our customers, as I said before, in their energy transition. And what we intend to do in this business is really to be an engine, to be a factor of promotion of the energy transition of all the counterparts regarding the energy consumption and regarding the capacity of providing energy to the clients with a decarbonated method. So that's really the point. And so it's a huge transformation, but it's not a matter of risk. And again, risk-wise, we're not really concerned. Regarding Stellantis, the business of the new FCA Bank, i.e., this new bank that is going to develop its activity, targeting small carmakers that don't have their own captive financing entity or targeting independent car dealers across Europe, this -- the development of this new business model actually has indeed started. And you may have seen that the FDA Bank has already signed a new partnership with VinFast, which is a, I think, a Thai carmaker or Vietnamese -- excuse me, Vietnamese carmaker which is making electric cars competing with Tesla. And so we are going to be the exclusive provider of car loans to the clients of VinFast in Europe. And we are going to make use of this setup of FCA Bank setup which we know very well because we've been contributing to the construction of this setup in order to develop the business. And maybe another example, you may have seen that we've taken a share in the capital of a dealer, a car dealer which is independent car dealer which is called [ Buy My Car ], a French one with the European prospect. And the purpose was of course not to become a car dealer ourselves. But to conclude with this car dealer and exclusive partnerships in order to be the only provider of car loans to its customers. So definitely, we are working already on, I would say, building up the books of the new FCA Bank starting beginning of 2023, and we are really confident on the development of this business.
Jonathan Matthew Clark: Am I wrong to just think in big picture terms though, you're losing a very successful mature business and gaining a lot of kind of quasi start-ups. I mean just from a timing perspective, that would imply…
Jerome Grivet: Yes, yes, that's for sure. We are -- there is a very profitable and good business that is going to start its runoff. And we are going to be interested in the runoff beginning of 2023. And at the same time and actually with a staff that is going to be earlier than that, we are building up the new business, not on a blank sheet because actually there is already a whole series of partnerships, which are kept within FCA Bank, which existed before the restructuration of the partnership and which we are going to keep. So it's a really more transformation than really a start-up.
Operator: Your next question comes from the line of Pierre Chedeville from CIC.
Pierre Chedeville: I have one first question quite boring, but it's Page 39, I would like to understand better what you said on your interest rate sensitivities and what could be the future. When I look at your excess of stable resources at EUR 279 billion, and I deduct the T-LTRO, you are currently, as you say, above EUR 100 billion of excess, which is your target. Can you remind us why did you choose this target, EUR 100 billion to what it corresponds? And I am quite surprised that with EUR 100 billion of excess, your NSFR at group level or Crédit Agricole S.A. is just above 100%? Is it much above 100% or just above? And why don't you give the perfect figure? And could we imagine that -- because we know that it's a kind of sterilization in the current rate environment to have such excess. Could you imagine that you could lower this leeway? And when we look at the figure on the left, your deposits at central banks. And when you know that you are penalized by 50 basis points on more than EUR 200 billion, if we imagine that in your scenario of an increase of 100 basis points, it would be, in my view, a significant increase in your net interest margin, much more significant than the negative impact on Livret A. So I'm not very clear on that regarding your sensitivities. Could you clarify a little bit? I know it's boring and…
Jerome Grivet: Well, I think that, Pierre, we should maybe take some time globally on the balance sheet of the group and not only on the liquidity reserves because here we are only assessing the liquidity reserves. But just a few elements to answer your question. First element, it's one of the characteristics of the group. We have to deal with that. We are made of several entities. And for example, in terms of NSFR, we need to comply with the NSFR at group level, at CASA level, at CACIB level, so at different levels. So it means that on a consolidated basis, we are, I would say, induced towards having higher reserves than would be the case if we were only made of one single legal entity with one single requirement to meet. So that's the reason why we may sometimes appear to have too wide excess of reserves everywhere. Second point, of course, the idea is that once the T-LTRO is not going to represent this benefit of 50 bps that we have for the time being, the intention is not to continue to have such a high level of reserves because for the time being, when you have EUR 160-something billion of T-LTRO drawings and when you have -- when you deposit the same amount at the ECB, you have a benefit of 50 bps. Of course, as soon as end of H1 '22, the situation is going to change. So of course these figures are going to be adopted at the end of the T-LTRO premium. So these are the main elements, and we are definitely preparing the new paradigm that will be the case after the end of the T-LTRO benefits, with possibly, we've heard about it, we've heard the ECB talking about it, with possibly the implementation of a higher level of steering which would also benefit us. Don't forget that within the cash and central bank deposits, there is a certain amount that is not finalized because it benefits from the steering. So it's actually more complicated than only a matter of EUR 240-something billion of -- or EUR 227 billion of deposits. It's a more complex, I would say, management. But definitely you're right in pointing the fact that this balance sheet and this type of reserves are adapted to the present period of time, and it's going to change after the ending of the T-LTRO benefit.
Pierre Chedeville: If I may, I have a second question, a business question regarding SoYou in Spain because it made sense when you had a JV with Bankia, in my view, to create a GV in consumer credit because you may benefit from its network. But I don't really understand why, as somebody has said [Foreign Language] in a stand-alone way in a very mature banking sector in Spain, as you know, very competitive. And I don't know what is your competitive advantage to gain market share here. And I'm quite surprised by your ambition because when I read your press release, you say that you want to be a leader in Spain in consumer credit [indiscernible] BBVA, [indiscernible], Santander, I'm quite surprised by this ambition. And so can you explain me exactly what you want to do there? And what do you think you are pertinent on this market?
Jerome Grivet: Let me just go back on the origins and the history of this initial partnerships -- partnership. The starting point was that we have some partners, retail partners, not banking partners, but retail partners with a European scope, like Apple, for example. And so we needed to have a setup, an operation in Spain in order to fully cover the perimeter on which they were ready to work with us. So the starting point is that we needed to have an operation in Spain. So we found this possible partnership. Then for the reasons that you know, the partnership was early terminated because of the change of control in our partner. And we've decided that actually at the startup that we've started to build was sufficient to be the starting point of an entity of our own in Spain. So for the time being, it's not absolutely massive. It's a few million euros of revenues and a few million euros of costs every quarter. So it's absolutely tiny. But we think that we have the capacity to develop and to reach quite rapidly the breakeven and then to develop properly the business. We have for the time being around EUR 300 million of outstanding. And we think that reaching EUR 1.5 billion in a few years' time is very reachable. So at the same time, we will be able to develop a business on our own in Spain, making use of our know-how because the main asset that we have is the know-how of CACF teams, and this know-how can be deployed in Spain and then making use also of this setup to better serve our pan-European partners in retail activities in the loan channel businesses.
Operator: Your next question comes from the line of Kiri Vijayarajah from HSBC.
Kirishanthan Vijayarajah: Couple of questions from my side. So firstly on the capital. So now that you've unwound the switch, is there kind of a greater incentive to maybe leverage up the insurance company and optimize the RWA consumption there? Or do you feel like kind of more pretty well optimized already and maybe the insurance supervisor may not look too favorably on new change in the capital structure of the insurance company too much. And then the second question, going back to the whole Stellantis thing, Slide 20. And specifically, that 1 million target you've got for the fleet in the long-term leasing business by 2026. Is 700,000, I think I saw in the press, is that the right starting point pro forma today for the size of that fleet. And so is all of that to get to 1 million, is that all going to come from organic growth because of course some of your competitors in that field, they've also got some quite ambitious growth targets there. So just trying to understand how you're going to get to that 1 million fleet size, please.
Jerome Grivet: Yes. Let me start with the capital of Crédit Agricole Assurance. It's true that Crédit Agricole Assurance has a very strong level of solvency. It's far above the 200% threshold. And it's true that we could leverage a little bit more this level of solvency in order to optimize the RWA consumption at CASA. You know that this high level of solvency at CAA has been reached amongst other elements by the fact that since 2 or 3 years now the participating reserve I was mentioning earlier is now taken into account in the computation of the solvency. So it means that it's not exactly neither capital nor a subordinated debt, but it's internal reserve that it represents part of the solvency. So we don't want to go too low in terms of solvency. But we -- definitely, we are going to continue to optimize the capital structure of the insurance activities. We are going also probably to use a little bit of this solvency in order to adapt the portfolio of assets of Crédit Agricole Assurance, of [indiscernible] to the present context in order to optimize the yield of the asset book and to adapt to the evolution of rates. But nevertheless, it's true that we have a certain margin of maneuver at this level. When it comes to Stellantis and to the long-term leasing entity, the starting point is that we have already around 650,000 cars, which is about half and half coming from leases on the one hand and from Free2Move on the other hand. So what we have to do in 4, 5 years’ time is to increase by 50% this portfolio, which is -- it's going to be made organically. It's not easy. But considering the pace at which this business is growing, it seems to us perfectly reachable.
Operator: Your next question comes from the line of Flora Bocahut from Jefferies.
Flora Benhakoun Bocahut: I'd like to ask you 2 questions on the Slide 10, which is a pretty impressive evolution. I like to ask regarding the next 12 months. Considering the other side of this is that obviously we get starting here from a high base. And without going into the next plan and the '25 horizon, just thinking here about the next 12 months. The 2 questions are, first, regarding the level of activity. You talk in the slide pack about buoyant activity in many of the businesses. Do you see any sign at this stage that there could be a slowdown in the growth in some of the businesses or anything that initial signs of deterioration there? And then on the cost side of the equation, is there any reason to believe that we could get negative surprises on costs specifically this year in '22, given in particular the inflation we are seeing? Or you are confident that you can continue on this path with cost savings, productivity gain?
Jerome Grivet: Well, Flora, of course it's very difficult to predict the future. Maybe just a few elements to comfort you in our capacity to continue to grow. First, as I said, we start this year with some negative elements, but with some very positive elements that are going to materialize in 2022, which are going to boost the top line and which are already embedded all the scope effects that I was mentioning earlier. And these positive elements represent much more than the negative elements. So we start the year, I would say, with the benefit of these operations that we've undertaken in 2021 and that are going to benefit us in 2022. Regarding the capacity to manage the -- excuse me, regarding first the level of activity that we see nowadays i.e. after the end of '21. Well, I don't have precise figures. It's way too early, but I'm not seeing any real sign of deterioration. I'm not seeing any sign of slowdown in the credit appetite. I'm not seeing any sign of decrease in the will of people to consume and to invest. So really there's no reason why we shouldn't continue to have a good level of activity. But of course we are aware of the fact that 2021 was a catch-up year with this very high growth in France, plus 7%. And what we foresee in 2022 is a more moderate 4% growth in the GDP in France, for example. So after a catch-up, you certainly have a certain slowdown. But going back from 7% of growth to 4%, it's not a recession. It's not a distressed situation. So we are full of hope in terms of the continuation of the development of our activities. Regarding the cost base, of course there is a certain level of inflation. We see it everywhere. We see it in all our purchases and so on and so forth. But for the time being, we've been able to, I would say, keep it under control and avoid any kind of loop that would really penalize our profitability. So of course, the jury is still out in terms of how the inflation is going to evolve. And if you believe in the theory of a one-off inflation that is not starting and fueling a loop between wages and prices, then we could be confident that we will be able to continue to monitor closely the cost base. If there is a real loop between wages and prices, then it's going to be more difficult. And then the question will be about our capacity to preserve a certain balance between the evolution of the top line and the evolution of the cost line. But for the time being, we don't see that loop.
Operator: Your next question comes from the line of Omar Fall from Barclays.
Omar Fall: Just a couple of things. So just if I take the -- your answer to -- I think it was Delphine's question on the scope effects on revenues and then you remove Livret A and T-LTRO, and you're kind of above 23 billion of revenue for 2022, ceteris paribus, kind of anything else. What are the scope effects similarly on the OpEx side from the scope effects that are left just to help us with our modeling? Then the second question was just to discuss the performance in Italy, please. I'm sorry if I missed this, but how much was the NPL disposal impact? It seems to me even ex that it looks a bit of a slowdown on both NII and fees certainly versus last quarter. So any thoughts there? And perhaps an outlook for that business specifically? Fantastic.
Jerome Grivet: Okay. So if I take the 3 main scope effects that we have, the first one, which is the switch unwinding, there's no cost related to that. So the EUR 130 million more or less of NBI is not generating any additional cost. As far as Creval is concerned, I think that they had a cost-to-income ratio in the region of 60% to 65%, if I remember correctly. So it means that at the starting point is maybe an additional EUR 200 million of cost compared to the EUR 300 million of revenues. But of course we are already working on all the synergies and we've taken some restructuration costs in the PPA in order to finance these cost synergies. So we are going to generate cost synergies. And as far as Lyxor is concerned, it's more or less the same. The idea clearly from Amundi's point of view is to integrate Lyxor without having to integrate fully or definitely all the costs linked to Lyxor. So this is -- and again, if I remember correctly, the cost-to-income ratio of Lyxor was in the region of 65% to 70%, which compares to the 50% more or less of Amundi. So the idea is to go back to 50% as soon as possible. As we saw it was 72% to be precise. It was a little bit below the reality. So that's -- so clearly this is going to be relative in terms of gross operating income as soon as '22. And coming to the NPL, your question was regarding the revenue dynamic in Italy, is that right?
Omar Fall: That's right, yes.
Jerome Grivet: Yes. Clearly the fourth quarter was a little bit weaker compared to the fourth quarter of 2020, which was really a rebound quarter, if you remember the sequence of the lockdowns in Italy, the fourth quarter was a rebound quarter in terms of activity in 2020. And so the comparison between the revenues in 2020 and 2021 is a little bit challenging. And then of course we have had this impact of the disposal of the NPL. And all in all, we had in the fourth quarter of 2021 a decrease in the net interest income and an increase, a slight increase, but an increase in the fees and commission.
Operator: Your next question comes from the line of Guillaume Tiberghien from Exane.
Guillaume Tiberghien: Sorry for a follow-up. I want to come back to the T-LTRO and be a bit provocative because when the T-LTRO arrived, the bank said we should not assume that this is a net benefit to revenues because if it's to a group's overall funding cost, which is then used to derive the revenue margin that you want to generate with your customers, and so why is it so mechanical on the way out when it was not so mechanical on the way in?
Jerome Grivet: Well, it's very simple, Guillaume, because if you use the cheap resource that has a 1.5 or 2 years maturity to finance the loan that is going to last 5, 6 or 7 years, when this cheap resource disappears, you end up with the loan, you're happy to have the loan, to have the customer of the loan. But nevertheless, mechanically, the cheap resource is terminated and you have to replace the cheap resource by one that is going to be more expensive. So I confirm what I've said regarding the implementation of the TLTR, it was part of the funding. And globally it helped us decrease our overall cost of funding. The end of the T-LTRO premium is going to increase our overall cost of funding without any mechanical effect on the yield of our loan book. So that's why it's a very mechanical effect. But of course, the idea is that we will try and replace this T-LTRO resource going forward by other resources that we are going to try to optimize in terms of cost. And the idea is that as soon as we have this perspective of seeing an increase in the cost of our resources, average cost of our resources, we need in order to balance the 2 to work on the repricing of the loan books progressively.
Operator: Your next question comes from the line of Tarik El Mejjad from Bank of America.
Tarik El Mejjad: Sorry, Jerome, to drag the call but very, very quickly. I'm surprised about your comments on the management provisions or overlay for COVID. I think in Q3 you mentioned that now you were ready to release some of them and not accumulate and build on coverage ratio. And now you seem to say that you want still to be prudent and use them for future losses. Did I understand that strongly or are you changing…
Jerome Grivet: No, no, absolutely not. But you are aware, Tarik, that between the publication of Q3 accounts and today, there has been a new variant of the disease and some, I would say, further development that really pushed us to be prudent.
Tarik El Mejjad: We are all back to -- all back to office and we're all back to our lives. So normally, no?
Jerome Grivet: It's not the case everywhere. And definitely, when we took the different decisions regarding the end of 2021 accounts a few weeks ago, there were still lots of questions about the evolution of Omicron and what was going to happen and so on and so forth. So keep in mind the fact that really when we close the accounts, the uncertainties were quite high, and we were talking in France of several hundreds of thousands of new contamination every day, so…
Tarik El Mejjad: But what's your view now? I mean now we -- I mean the outlook then are you releasing some of them or…
Jerome Grivet: It's clear that the outlook is improving from a pandemic viewpoint. Nevertheless, we continue to have a significant number of people in the hospitals. And so in my point of view, it's not completely over even if some restriction measures have been relaxed. So really, we are prudent. You know that we are prudent. You shouldn't be surprised if we take prudent measures. I think it was the last question, if I understood correctly. And the [indiscernible] of that was that we were having a second round of question with the same participants. So I think I'm going to thank you for all your questions and your attention this afternoon. And we are going to talk or see each other quite rapidly now. Bye-bye. Thank you.
Operator: Thank you. That concludes today's conference call. Thank you for participating. You may all disconnect.